Operator: Ladies and gentlemen, thank you for standing by. My name is Dennis and I will be your event operator today. I would like to welcome everyone to today's conference, Public Service Enterprise Group First Quarter 2017 Earnings Conference Call and Webcast. As a reminder, this conference is being recorded today, Friday, April 28, 2017, and will be available for telephone replay beginning at 2:00 PM Eastern Time today until 11:30 PM Eastern Time on May 5, 2017. It will also be available as an audio webcast on PSEG's corporate website at www.pseg.com. I would now like to turn the conference over to Kathleen Lally. Please go ahead.
Kathleen A. Lally - Public Service Enterprise Group Incorporated: Thank you, Dennis. Good morning, everyone. Thank you for participating in PSEG's call this morning. As you are aware, we released our first quarter 2017 earnings statements earlier today. The release and attachments are posted on our website, www.pseg.com, under the Investors section. We also posted a series of slides that detail operating results by company for the quarter. Our 10-Q for the period ended March 31, 2017 is expected to be filed shortly. The disclaimer statement regarding forward-looking statements details the number of risks and uncertainties that could cause actual results to differ materially from forward-looking statements made therein. And although we may elect to update forward-looking statements from time-to-time, we specifically disclaim any obligation to do so, even in light of new information or future events unless required by applicable Securities laws. We also provide you with commentary with regard to the difference between non-GAAP operating earnings and non-GAAP adjusted EBITDA and net income reported in accordance with generally accepted accounting principles in the United States. I am not going to read to full disclaimer statement or the comments we have on the difference between non-GAAP operating earnings and GAAP results, but I do ask that you read those comments contained in our slides and on our website. PSEG believes that the non-GAAP financial measures providing information on operating earnings and adjusted EBITDA offers a consistent and comparable measure of performance to help shareholders understand operating and financial trends. I would now like to turn the call over to Ralph Izzo, Chairman, President and Chief Executive Officer of Public Service. And joining Ralph on the call is Dan Cregg, Executive Vice President and Chief Financial Officer. At the conclusion of their remarks, there will be time for your questions. Thank you. Ralph?
Ralph Izzo - Public Service Enterprise Group, Inc.: Thank you, Kathleen, and thank you everyone for joining us today. As you saw earlier this morning, we reported non-GAAP operating earnings for the first quarter of 2017 of $0.92 per share versus non-GAAP operating earnings of $0.91 per share in last year's first quarter. Our GAAP results for the first quarter of $0.22 per share reflect the decision we made last year to retire the Hudson and Mercer coal-fired generating units, which will happen in June of this year. Results also reflect an increase in the reserve for the impairment of our leveraged lease investment in the Keystone, Conemaugh generating stations. Non-GAAP operating earnings for the first quarter benefited from the ongoing successful execution of our investment program. Growth of our regulated utility business and effective cost management offset the impact on Power's earnings of a continued decline in energy prices. Our regulated utility business is expected to grow 8.5% in 2017 to represent two-thirds of our full year 2017 non-GAAP operating earnings of $2.80 to $3 per share. We're off to a good start for the year by maintaining our usual focus on operational excellence, disciplined investment and financial strength. We've also increased our attention on achieving a few key policy objectives. First among these is getting recognition for the value of our nuclear-generating assets. As you know, nuclear generation is facing challenges that are real and serious. We've initiated discussions with key stakeholders at the federal and regional levels and here in New Jersey to improve awareness of the importance of nuclear power. Nuclear is a clean energy resource that provides nearly 97% of the energy that is free of air emissions and is generated in New Jersey. Nuclear supports resiliency of the electric grid by adding to a diverse fuel mix and avoiding the potential reliability problem of putting all of our eggs in one fuel basket. And nuclear provide significant benefits to the regional economy. We've been working on many fronts to secure the long-term viability of our nuclear generation assets. We've reduced staffing and cut expenses at our nuclear facilities. We've also advocated for change in wholesale market price formation that more accurately recognizes the value that these and other generation resources bring to the customer. The common sense reality is that these plants are valuable for a variety of reasons. Nuclear-generating facilities have unique characteristics that enhance the resiliency of the system and support public policy objectives that are not recognized or priced in current markets. While we commend the efforts that FERC is taking on price formation, time is running out for a wholesale market solution. We believe progress in recognizing the value that nuclear brings to the environment, the resiliency of the grid, and the economy of the region has been and will take place at the state level. Enhancing the resiliency of the power system has become an important issue for our company. Superstorm Sandy was the wakeup call that affected our thinking about what is important to our 2.2 million electric customers and 1.8 million gas customers. PSE&G's $12.3 billion base capital investment program over the next five years is focused on ensuring continued reliability and on anticipating, preparing for, and recovering from high-impact, low-frequency events. PSE&G's investment program includes $6 billion dedicated towards transmission system improvements. $3 billion of electric distribution investment is focused on lifecycle investments to ensure continued top quartile reliability performance and even better customer service. Another $3 billion is focused on modernizing and upgrading cast iron and unprotected steel gas mains. And lastly, $250 million is directed to investments in solar and energy efficiency programs that support New Jersey energy policy objectives. PSE&G's base capital program provides the opportunity for annual growth in rate base of 9% through 2019 and annual growth in rate base of 7% for the five years ending 2021. The expansion and/or extension of existing capital programs could lift PSE&G's five-year capital program by up to $1.5 billion and raise the growth in rate base from 7% to 9% per year over the five-year period. At the beginning of March 2017, PSE&G filed for approval to extend its investment in energy efficiency. This request represents a capital investment of $74 million and you should expect to see PSE&G request an extension of its existing program to replace gas mains and to modernize its electric distribution system later this year. PSEG Power's construction of 1,800 megawatts of new efficient combined cycle gas-fired capacity within PJM and New England markets is underway at a total cost of $2 billion. Earlier this month, the Connecticut Department of Energy and Environmental Protection issued the last set of regulatory permits necessary to begin construction of Bridgeport Harbor 5. The Keys Energy Center in Maryland and the Sewaren Station in New Jersey are scheduled to begin operation in mid-2018. The Bridgeport facility is scheduled to begin operation a year later in mid-2019. The retirement of Hudson and Mercer, and the commercial operation of the new gas-fired, combined-cycle gas turbine capacity repositions Power's portfolio more toward efficient, cleaner assets. Our company-wide investment program is focused on building an infrastructure that improves system reliability. We will update you throughout the year on our efforts to preserve the value of nuclear energy for New Jersey and to secure approval for regulatory mechanisms that provide customers clean, affordable, resilient energy supply. As mentioned, we are maintaining our non-GAAP operating earnings guidance for the full year of $2.80 to $3 per share. With the support of our dedicated 13,000-plus employees, we expect to be able to successfully deliver on the promise of our investment program that should provide growth for our shareholders and a sustainable energy future for our customers. With that, I'll turn the call over to Dan, who will discuss our financials in greater detail.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Thank you, Ralph, and good morning, everyone. Thanks for joining us this morning. As Ralph said, PSEG reported non-GAAP operating earnings for the first quarter of 2017 of $0.92 per share versus non-GAAP operating earnings of $0.91 per share in last year's first quarter. On slide 4, we've provided you with a reconciliation of non-GAAP operating earnings to net income for the quarter. We've also provided you with information on slide 8 regarding the contribution to non-GAAP operating earnings by business for the quarter. And in addition, slide 9 contains a waterfall chart that takes you through the net changes quarter-over-quarter in non-GAAP operating earnings by major business. I'll now review each company in more detail, starting with PSE&G. PSE&G, as shown on slide 11, reported net income for the first quarter of 2017 of $0.59 per share compared with $0.52 per share for the first quarter of 2016. PSE&G's first quarter results reflect the ongoing successful execution of its growth initiatives and control of operating expenses. Growth in PSE&G's investment in transmission improved quarter-over-quarter net income comparisons by $0.03 per share. Revenue recovery of investments made to replace gas distribution mains under the Energy Strong and Gas System Modernization Programs improved quarter-over-quarter net income comparisons by $0.02 per share, and the reduction in O&M expense also improved quarter-over-quarter net income comparisons by $0.02 per share. PSE&G implemented a $121 million increase in transmission revenue under the company's FERC-approved formula rate on January 1, 2017. Our transmission revenues are adjusted each year to reflect an update of the company's investment program. PSE&G's investment in transmission is expected to grow to represent approximately $7.6 billion of rate base at the end of 2017 or 45% of the company's year-end 2017 consolidated rate base. Gas distribution revenue increased by $16 million, with the completion of gas main replacement work approved under Energy Strong and GSMP. Under Energy Strong, electric rates are adjusted two times during the year in March and September and gas rates are adjusted each year in September. And under the Gas System Modernization Program, gas rates are adjusted each year in January to reflect the investment made during the prior year. Annual revenues in 2017 under both of these programs are forecasted to increase by approximately $55 million. Actual and weather-normalized electric sales increased about 1.5% in the first quarter compared to the year-ago period. The increase is due to a spike in industrial use from one customer that use PSE&G service in 2017, while the dedicated generation plant that normally serves the customer was out in an outage. So, the improvement in sales to this customer did not lead to an improvement in margin and actual and weather-normalized from gas sales increased about 3% on the quarter, and the high volatility of the weather experienced over the last few winters challenges the weather normalization calculations. But over the trailing 12-months period, we view weather-normalized electric and gas sales as essentially flat. As Ralph mentioned, PSE&G filed with the New Jersey Board of Public Utilities in March of 2017 for approval to increase its investment in existing and new energy efficiency programs. The programs, if approved, would represent a capital investment of $74 million. As part of the petition, PSE&G is also seeking recovery of additional administrative and other costs, including costs associated with the enhancement of the information technology system. The petition has been deemed complete, which starts a 180-day clock to complete a decision on the filing. And this is expected during the third quarter. PSE&G invested $752 million in capital expenses during the first quarter of 2017 and is on track to invest $3.4 billion in 2017 on transmission and distribution infrastructure. And we are maintaining our forecast of PSEG net income for 2017 of $945 million to $985 million. Moving to Power, PSEG Power reported non-GAAP operating earnings for the first quarter of $0.30 per share and adjusted non-GAAP EBITDA of $359 million. This compares to non-GAAP operating earnings of $0.36 per share and non-GAAP adjusted EBITDA of $409 million for the first quarter of 2016. Non-GAAP adjusted EBITDA excludes the same items as our non-GAAP operating earnings measure, as well as income tax expense, interest expense, depreciation and amortization expense. The earnings release and slide 17 provide you with detailed analysis of the items having an impact on Power's non-GAAP operating earnings relative to net income quarter-over-quarter. And we have also provided you with more detail on the generation for the quarter on slide 18. PSEG Power's net loss for the quarter reflects the impact of incremental depreciation and other expenses of $564 million pre-tax associated with the decision to retire the Hudson and Mercer coal-fired generating stations on June 1 of this year. Power's results in the second quarter will also be impacted by incremental depreciation expense associated with the early retirement of these units. A decline in the average price received on energy hedges reduced Power's quarter-over-quarter non-GAAP operating earnings by $0.09 per share. The non-GAAP quarterly operating earnings comparisons are also lower by $0.01 per share due to a decline in generation output and by $0.01 per share increase in the reserve-related to a FERC investigation of Power's cost-based bids that began in 2014. The impact on non-GAAP operating earnings from these two items was offset by a $0.02 per share improvement in off-system gas sales. A reduction in O&M as a result of cost control efforts at the nuclear stations improved non-GAAP quarter-over-quarter operating earnings comparisons by $0.03 per share. Power's O&M for the remainder of 2017, particularly the second half of the year, is expected to compare favorably into 2016, given a reduction in pension expense, a decline in major maintenance expense at fossil, the absence of a refueling outage of Power's 100% owned Hope Creek nuclear station, and of course, the June 1 retirement of Hudson and Mercer, as I previously mentioned. Now, let's turn to Power's operations. Output from Power's generating stations declined 2.8% in the first quarter from year-ago levels. Quarterly comparisons were affected by one fewer day of operation this year versus last year, due to leap year, and also reflect the adverse impact on energy pricing and volatility from above normal temperatures during the first two months of the year. The nuclear fleet operated at an average capacity factor of 100% in the quarter, producing 8.4 terawatt hours of energy. Power's combined cycle fleet experienced a decline in its average capacity factor during the quarter to 41.8% from 51.7%. For the quarter, the combined cycle fleet produced 3 terawatt hours of energy as the coal-fired fleet produced 1.4 terawatt hours of energy. During the first two months of the year, the power markets were characterized by warmer than normal weather, reducing overall demand and lowering price volatility. The impact on realized energy pricing from the decline in our average price on energy hedges was notable in the first quarter of 2017 versus 2016. As previously disclosed, our average hedge price on energy for 2017 is expected to decline from $51 per megawatt hour in 2016 to $46 per megawatt hour in 2017. The impact on realized energy prices in the first quarter of 2017 reflected a larger decline than the average for the year, contributing to the $0.09 per share impact from recontracting I mentioned earlier. This quarter-over-quarter decline was related to higher seasonal pricing on contracted basis in the eastern PJM region realized in the first quarter of 2016. For the remainder of 2017, we anticipate a more modest decline year-over-year in energy pricing than what we experienced in the first quarter and a lower decline than what we are forecasting for the full year. Although Power's access to low-cost shale gas continued to provide a benefit to its margins relative to the market, power did experience a compression in spark spreads during the quarter, which had an impact on output from the gas-fired combined cycle fleet. The market has sustained higher prices since the end of February and the improvement can be attributed to higher gas prices and a reduction in congestion with the completion of some transmission work in the area. Based on the milder weather to-date, Power's forecasting output for 2017 of 49 terawatt hours to 50 terawatt hours and the forecast is modified slightly from our prior forecast of output for the year of 49 terawatt hours to 50 terawatt hours. The change in output is primarily the result of a mild winter and the impacts on output on the combined cycle fleet. The nuclear fleet's full year forecasted capacity factor is unchanged at 92%. Salem 2 is currently in a refueling outage that's forecasted to be longer than normal, given the decision to proactively address any needs related to the unit's baffle bolts. Approximately 90% of production for the remainder of 2017 is hedged at an average price of $46 per megawatt hour. Power has hedged approximately 55% to 60% of its forecasted production for 2018 of 52 terawatt hours to 54 terawatt hours at an average price of $41 per megawatt hour. And for 2019, Power has hedged 20% to 25% of its forecasted production of 58 terawatt hours to 60 terawatt hours at an average price of $42 per megawatt hour. Power continues to assume BGS volumes will represent approximately 11 terawatt hours in 2017, which is consistent with 2016 volumes. Power's average hedge prices don't include any anticipated future benefit from its retail marketing efforts. We continue to forecast non-GAAP operating earnings for Power in 2017 of $435 million to $510 million. And the forecast of non-GAAP operating earnings represents an adjusted EBITDA of $1,080 million to $1,210 million for the full year. Now, I'll briefly address the operating results from Enterprise and Other. For the first quarter, Enterprise and Other reported a net loss of $15 million or $0.03 per share for the first quarter of 2017 compared to net income of $17 million or $0.03 per share for the first quarter of 2016. The net loss for the first quarter of 2017 reflects the impact of a pre-tax charge of $55 million associated with the continuing liquidity issues facing NRG REMA. The charge reflects our current assessment of the ongoing matter. Non-GAAP operating earnings for the first quarter of 2017 of $17 million or $0.03 per share were unchanged quarter-over-quarter from the first quarter of 2016 and reflect contractual payments associated with the operation of PSEG Long Island and certain tax items at PSEG Energy Holdings. And we continue to forecast full-year 2017 non-GAAP operating earnings from Enterprise and Other of $35 million. With respect to financings, PSE&G closed the quarter with $193 million of cash on the balance sheet and with debt at the end of March of 2017, representing 47% of our consolidated capital. Debt at PSEG Power represented 30% of its capital at the end of the quarter. In March 2017, PSEG Power and PSE&G extended the expiration dates on $4 billion of credit facilities to March of 2022. At the end of March, total available credit capacity was $3.6 billion. We remain in a position to finance our five-year base capital program of $15 billion without the need for the issuance of equity. And we remain in a position to finance an expansion of our investment program also without the need to issue equity. Power's cash flow is forecasted to improve following the completion in 2018 and 2019 of construction of the three new combined cycle units, with the decline in annual capital spending at Power to $200 million a year from 2017's capital budget of $1.2 billion. PSE&G's internal generation of cash is expected to remain strong throughout the forecast period. We continue to forecast non-GAAP operating earnings for the full year at $2.80 to $3 per share. That concludes our prepared remarks and now I'll turn the call back over to the operator for questions.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session for members of the financial community. And your first question is from the line of Jonathan Arnold with Deutsche Bank. Please proceed with your question.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Hi. Good morning, guys.
Ralph Izzo - Public Service Enterprise Group, Inc.: Good morning, Jonathan.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Good morning, Jonathan.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: I was curious about the REMA item. When I look back to the Analyst Day, I think you had said, when you were talking about guidance, you'd highlighted this as a write-down of what you described as the residual value. So, is it safe to assume that you have no further exposure?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Jonathan, I think we're in a good place right now. The best information that we have is what we have booked to, really based upon what we know about the liquidity issues at REMA, the issues surrounding the facilities themselves, and basically the alternative outcomes through our discussions with them. So, we think based upon what we know right now, to the best of our information, we've recorded to where we think things will be when all is said and done.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Can you share sort of how much still on the books?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah. Between Keystone and Conemaugh, there's about $55 million of total investment that remains on the books.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: So, you've written off basically half of what was there?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: That's correct. Yes.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay, great. Thank you. And then just on the $0.01 charge you took for the FERC investigation, not much happened on that recently. And can you just clarify what's going on with that given the situation at FERC at the moment, and what led to that charge?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah. So, as you know, this has been an issue that's been around for a while and 2014 is when it began, and there was that $25 million charge that was taken in 2014. We are moving forward with it. There's still a fair bit of uncertainly that remains, but based upon where we are right now within the investigation and discussions, the lower end of the range of our exposure as we've seen it has raised to $35 million from that $25 million number that we had. And that was the driver behind the reserve that we know.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: So, you were still booking the low end and that's up $10 million.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: That's exactly right.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay, great. That's all I had. Thank you.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Okay.
Operator: Your next question is from the line of Julien Dumoulin-Smith with UBS. Please proceed with your question.
Antoine Aurimond - UBS: Hey, guys. This is Antoine Aurimond calling for Julien. How are you?
Ralph Izzo - Public Service Enterprise Group, Inc.: Good, Antoine. How are you?
Antoine Aurimond - UBS: Good. First, after this quarter, how do you see BGSS margins trending for the full year? And more generally, how do you see gas basis in PJM is evolving in light of the recent pipeline delays?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Your first question was on BGS or BGSS?
Antoine Aurimond - UBS: BGSS. The margins for the full year.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah. So frankly, as we look that product in particular, most of what we'll see throughout the year takes place in the first three months of the year. So, I would say that the BGSS component of our business really will have minimal impact until we get into December, so not a whole lot of variability that we would anticipate until we get adjusted to the fourth quarter there. We have seen some delay in pipelines. I agree on that front, but we have seen some movement within the basis as well. I think that over time as we continue to see more takeaway capacity built, we will see some levelization of gas prices over time.
Antoine Aurimond - UBS: Okay, got it. And lastly, with regards to the Con Ed wheel, given that Con Ed has been dropped out and that NYPA could possibly follow, do you see any risk of the transmission carving allocated to your utilities customers?
Ralph Izzo - Public Service Enterprise Group, Inc.: So, that's a subject of ongoing dispute at FERC. I think the bottom line for us is that there's no question about recovery of investments that we make. But you're right, Antoine, there will be some healthy debate over who pays that. But at the end of the day, we are getting paid.
Antoine Aurimond - UBS: Okay, got it. Thank you very much.
Operator: Your next question is from the line of Greg Gordon with Evercore ISI. Please proceed with your question.
Greg Gordon - Evercore Group LLC: Thanks. One in the weeds question and one higher level question. It looks like you have slightly lower – not just slightly lower from output for this year, but also slightly lower projected output in the subsequent years. It doesn't look like it would impact margin much, but I'm just wondering is that a function of sort of your dispatch model just being updated for current forwards?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah. That's all it is, Greg. I'd say the most solid impact is what we've seen year-to-date on the winter. So, the lower end of that range stay the same. We just took the top-end down by 1 terawatt hour.
Greg Gordon - Evercore Group LLC: Okay, great. And then, I know that you obviously have state level activity with regard to what you believe to be the right infrastructure agenda for your customers. But at the same time, you've got this federal move with Rick Perry at DOE opening up a process. And my understanding is that FERC may consider a stakeholder process that ultimately develops into potentially a 205 proceeding to amend their tariffs to deal with the proliferation of subsidies. Can you comment on all those on whether you believe that – how you think those tensions ultimately get resolved and whether or not that's accurate.
Ralph Izzo - Public Service Enterprise Group, Inc.: Hi, Greg. Yeah. We're following the DOE studies through EEI, which is we're paying very careful attention to what the future prospects are for base load generation, primarily in organized markets, but in general around the country. And the discussions we've had at every level, right, so we've been talking to people at federal levels, we've been talking to people at PJM, we've been talking to people at state, is that regional and national solutions are preferred, but given the time that's required for naming of FERC commissioners, getting your arms around the value of fuel diversity, getting your arms the value of the environmental impacts of NOx, SO2, carbon, et cetera, that states should be in the lead on those attributes that they value and those programs should go away as regional and federal programs take over. So, it's not a question of holding off on everything until we get clarity from DOE by any means.
Greg Gordon - Evercore Group LLC: Okay. Do you think it's plausible that there could be a stakeholder process that ultimately results in a request for a tariff change at FERC...
Ralph Izzo - Public Service Enterprise Group, Inc.: Yeah. I think it's possible. Sure.
Greg Gordon - Evercore Group LLC: ... for the PJM auction in 2018?
Ralph Izzo - Public Service Enterprise Group, Inc.: It's possible. Sure. We all know what the time frames are at PJM and at FERC, but, yes, it is possible.
Greg Gordon - Evercore Group LLC: Okay. Thank you, guys.
Operator: Your next question is from the line of Praful Mehta with Citigroup. Please proceed with your question.
Praful Mehta - Citigroup Global Markets, Inc.: Hi, guys. Just following up the nuclear discussion, wanted to understand what kind of timeframe do you have in your mind around getting some resolution on this? If there is no support or no exact or any other form of nuclear support, how long are you willing to wait before you take a decision on the nuclear assets?
Ralph Izzo - Public Service Enterprise Group, Inc.: We haven't drawn a line in the sand, Praful. I mean, our units are hedged. And as we've said publicly that our – because of those hedges generating positive cash flow, however, as one looks at the forward price curve, as those hedges roll off, that cash flow becomes more and more challenge. And in fact, if you believe the forward price curve out three years, those cash flows turn negative. One then has to ask, well, what do you think will happen to the price curve beyond that? So, rather than draw a line in the sand, what we've said is we ought to work collectively with people to make sure that the attributes of nuclear are being compensated in the market. And that to the extent that those attributes are not being compensated, they should look at providing a needs tests for nuclear plant to say, okay, if they are in fact not profitable and are at high risk of going away and we will regret losing those attributes, then we want to make sure they don't go away. So, I think what we've tried to go out of our way to say is the day we announce a date, we are in a mode that is a place that nobody ought to want to be, because these assets are too valuable to the state of New Jersey for us to announce a date. So, we're doing all we can to avoid having to do that.
Praful Mehta - Citigroup Global Markets, Inc.: Fair enough. And secondly, just a detail question. On the hedges, it look like the percentage hedge obviously comes down over time, but the price also is down, which you would expect from the forward curve down from 46% to 42%. I guess the question is, generally when you're hedging in the forward market, or hedging better periods of time, peak periods or peak hours, what do we take away from the hedge price? Does that mean that the average is actually even lower than that? Just trying to get a sense for what the 42% really means in terms of forward achievable prices for 24/7?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah. Maybe two ways to think about that, Praful. One is – I don't know that I would say that we are necessarily hedging the highest prices earlier and then moving down the scale. There's on-peak and off-peak hedges that get put on without a particular pattern necessarily. So, I would diffuse you of your first thought that it's definitely the higher prices. That said, as we look to the outer years of our disclosed hedge prices and into 2019, given that we've had some BGS auctions that have rolled through, some of that 2019 volume is based upon BGS and we decomposed the BGS price and pull out the capacity components, but there are some other non-energy components that are in there that give a little bit of a lift to that price. So, maybe not so much the fact that it's the higher price or the on-peak prices that have been hedged, but more so that some of the BGS volume that rolls into 2019 shows that price to be what it is. But that's the makeup of it.
Praful Mehta - Citigroup Global Markets, Inc.: Got you. That's very helpful color. Thank you.
Operator: Your next question comes from the line of Angie Storozynski with Macquarie. Please proceed with your question.
Angie Storozynski - Macquarie Capital (USA), Inc.: Thank you. I just – I don't know if you're willing to give us a sense what would be the potential construct of that support for nuclear plants in New Jersey. It's my understanding that it wouldn't resemble the one from New York or Illinois. Would it be more like what we're seeing in Connecticut or something completely unrelated? Thank you.
Ralph Izzo - Public Service Enterprise Group, Inc.: Angie, I would say right now we're in what I would call an education phase. And the only thing that we know for a fact in New Jersey is that if New Jersey were to agree to the importance of nuclear from an environmental point of view, from a regional economy point of view, from a fuel resiliency point of view is that it would require legislation. And I just have a lot of confidence that New Jersey will give it serious thought. I mean, the issues are pretty clear here. If those assets are not earning their cost of capital over the long term or if they turn cash flow negative, we'll retire them. That will be a very painful decision given the impact it has on New Jersey, but, unfortunately, it's a very clear decision for us from a shareholder point of view. So, now, the question is how do policymakers feel about the increased emissions of NOx, SO2, CO2, single-fuel dependency. And I thank you for your question. This is not a slam against natural gas. This is not a projection that natural gas won't be abundant for decades to come. It's not a slam against renewables. This is the case for the value of fuel diversity, the value of not putting all your eggs in one basket, the value of something that does not have air emissions, the value of something that has, candidly, really good jobs, and obviously the laws of economics, supply and demand. You cannot remove 40% of the supply without having an increase in prices in New Jersey. And that's something New Jersey consumers should not like. So, once the plants become quote uneconomic, they still have enormous value to New Jersey. So that's what we're doing right now. We're just educating people about that. To us right now, they are still positive cash flow generators.
Angie Storozynski - Macquarie Capital (USA), Inc.: So, just following this line of thinking. So, basically, the plants become free cash flow negative come 2020?
Ralph Izzo - Public Service Enterprise Group, Inc.: Well, if the forward price curve is realized, the answer is yes.
Angie Storozynski - Macquarie Capital (USA), Inc.: Okay. And so -
Ralph Izzo - Public Service Enterprise Group, Inc.: And we do not try to outguess the forward price curve. As you know, we run this company in accordance with a hedging program that feathers in the forward price curve. Now, we're working hard to lower our cost at nuclear and try to fight against that stream, that current.
Angie Storozynski - Macquarie Capital (USA), Inc.: Okay. But in light of that, right, you said that it's still a discussion phase in New Jersey. We're going into a capacity auction, which will cover the summer of 2020 and beyond. You have a set of assets that based on observable curves is free cash flow negative. So, what do you do going into the auction?
Ralph Izzo - Public Service Enterprise Group, Inc.: Of course, we discuss that all the time and you know us well enough, Angie, to know that we're not going to disclose that. You're really asking how we we're going to bid the units in RPM and we just never talk about things like that.
Angie Storozynski - Macquarie Capital (USA), Inc.: Okay. I had to try. Thank you.
Ralph Izzo - Public Service Enterprise Group, Inc.: But it's worth trying though.
Angie Storozynski - Macquarie Capital (USA), Inc.: Thank you.
Ralph Izzo - Public Service Enterprise Group, Inc.: Thank you.
Operator: Your next question is from the line of Daniel Yu with Goldman Sachs. Please proceed with your question.
Daniel Yu - Goldman Sachs & Co.: Hi. Good morning.
Ralph Izzo - Public Service Enterprise Group, Inc.: Good morning, Daniel.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Good morning.
Daniel Yu - Goldman Sachs & Co.: Two parts to my question on Power and market fundamentals. First, are there major supply changes in New Jersey that we should keep in mind in addition to the retirement of Hudson and Mercer and the elimination of the Con Ed wheel? And second, in your view, what are the impacts of these supply changes on the energy and capacity markets?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: I mean, I think the one that we would point to is we have our Sewaren plant that's coming in, but maybe I would say you have the RPM auction that has happened for the past couple years. You can see what has come forth from the standpoint of new capacity there. And in the last auction, there was nothing that was in EMAAC. But that's your best indication as to what's going to happen in the near term, near term being three years out coming out of the capacity auction given indication. So, you'll be able to see what supply and demand has committed to the market three years out. And then, the other thing that we look at that we talked about briefly before is just overall supply of gas and pipeline capacity in the region.
Daniel Yu - Goldman Sachs & Co.: Great. Thank you.
Operator: Your next question is from the line of Chris Turnure with JPMorgan. Please proceed with your question.
Christopher James Turnure - JPMorgan Securities LLC: Good morning. I know that you had a couple specific things that you wanted to see changed or things that you thought were, I guess, unjust or unreasonable in regards to the PJM parameters in the transmission capacity in the eastern region. Given the changes that were announced a couple of weeks back, did they fully reflect those changes or partially reflect those changes or can you give us some color there?
Ralph Izzo - Public Service Enterprise Group, Inc.: Yes, Chris, partially only. We're still confused and our technical people have a different point of view than what was published by PJM, in particular on the CETL/CETO parameters as it pertains to the PS Zone, and in particular, PS North. So, we are going to follow the appropriate communication channels to PJM. And I'm sure that they will post our communications with them on Oasis or whatever other mechanisms they choose. So, it was better the second time around, but we still either need to be educated or PJM needs to make some further changes.
Christopher James Turnure - JPMorgan Securities LLC: And when you say that, are you referring to changes for future auctions or something that could impact this year?
Ralph Izzo - Public Service Enterprise Group, Inc.: Yeah, think it's more than likely for future auctions, Chris. I've lost track of time. I think today's April 28 and the auction starts in two and a half weeks. So, I think we're talking about future auctions.
Christopher James Turnure - JPMorgan Securities LLC: Okay. And then, I know you don't have that much capacity up there, but the ISO-New England proposal from I think last week was pretty interesting. Do you have any preliminary thoughts on what the impact of that might be over time and the next steps that would be required to get that in place there?
Ralph Izzo - Public Service Enterprise Group, Inc.: So, as you know, the most important thing we have up in ISO-New England is the construction of a new combined-cycle gas turbine unit, which has a seven year lock on prices. So, we're good to go for the foreseeable future. So the changes that you're referring to are not of a big consequence to us.
Christopher James Turnure - JPMorgan Securities LLC: Okay. We'll have to wait and see. Thanks.
Operator: Your next question is from the line of Paul Patterson with Glenrock Associates. Please proceed with your question.
Paul Patterson - Glenrock Associates LLC: Good morning.
Ralph Izzo - Public Service Enterprise Group, Inc.: Hi, Paul.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Hi, Paul.
Paul Patterson - Glenrock Associates LLC: A few quick ones. First of all, on the DOE examination, et cetera, just in general, are you hearing anything about perhaps something more dramatic coming out of Washington to deal with nuclear or coal plant retirement, base load retirements outside of the sort of normal stakeholder process sort of approach? Anything that would lead you to think that there'd be something outside of the stakeholder approach that we've been seeing for so many years now? Have you heard anything perhaps more dramatically happening more quickly to address some of the more imminent closures that might be happening?
Ralph Izzo - Public Service Enterprise Group, Inc.: No. Paul, we haven't. I mean, the reality is last congressional stab at tax reform has some phasing out of both the production and investment tax credits. I suppose Congress could revisit that and try to further accelerate those phase-outs. The real issue is what happens in organized markets to price the attributes of fuel diversity and/or environmental attributes. And I think that's less about doing away with something and creating something and that, as the earlier questions pointed out, really lends itself more to a stakeholder process or a discussion that would play itself out over the coming months, if not, years, which is why we would say that state action is likely going to front run any federal consensus on these issues. But to be blunt, Paul, we're reading the same stuff you are and just getting feedback through EEI on what this all means.
Paul Patterson - Glenrock Associates LLC: Okay, great. And then – and I apologize. I was interrupted just briefly during the call. There was this infrastructure strong proposal at the New Jersey BPU and another one of payments of it, a disc sort of setup. And I was wondering if you guys – if you've already talked about it, I apologize. But if you haven't, I was wondering if you could elaborate a little bit more about what you see happening potentially there and how could it impact you.
Ralph Izzo - Public Service Enterprise Group, Inc.: Sure, yes. No, we haven't discussed it. I describe it as a step in the right direction on an issue that we and the board staff and others have been talking about now for a well over a year. You may remember, we have filed 14 trackers/clause programs over the past 10 years and had all 14 approved, not exactly as we had filed them, but with modifications. And it's become abundantly clear to us and to the board staff that many of these programs that we've initiated have many, many years ahead of them. I mean, we have an aging infrastructure that needs replacement. And to constantly go back in because of an 18-month program's expiration is just suboptimal in terms of how much work you can do efficiently. So, things like training programs for long-term employees, permanent hires versus contractors are things that we don't do now because we don't know whether our capital program is going to end in 18 or 36 months. So, what the board has come out with, all right, we'll give things a kind of a standard recovery mechanism in a five-year life, but in exchange you have to come in for rate case every five years. And given the actions to load growth, that seems like a very, very reasonable thing to do. Now, the devil's in the details, and based upon the straw man that was put out, there's a couple of significant improvements that we think we need to be made. I'm sure that maybe some other folks who have a different point of view. But we think it's a good step in terms of realizing that long-term ongoing infrastructure replacement should not be done in 18-month increments. And giving us five years of clarity will help us hire the people, train the people, invest in new equipment that can help us replace miles of pipe more efficiently and reinforce circuits more efficiently and do things that customers are expecting from us. So, to be continued but certainly a constructive first step.
Paul Patterson - Glenrock Associates LLC: Okay.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: And then, Paul, this all will be a public process. So, as it progresses over time, you will be able to see the discussions that are going on and how it is going.
Paul Patterson - Glenrock Associates LLC: Any sense on the timing? I mean some of these things can – I don't know, I mean the consolidated tax seems to take forever. Do you have any idea when this might be resolved?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Not resolved. Next week is the beginning of the process. I believe there's – you may see some more discussion around it next week that would give more of an indication. But I think as far as when it would end is we don't know right now.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: I'm going to hope that it's done this year, but we don't have a control over that schedule.
Paul Patterson - Glenrock Associates LLC: Okay. Appreciate it.
Operator: Our next question is from the line of Steve Fleishman with Wolfe Research. Please proceed with your question.
Steve Fleishman - Wolfe Research LLC: I'm sorry. It's been answered. Thank you.
Operator: And at this time, there are no further questions. Please continue with any closing or prepared remarks.
Ralph Izzo - Public Service Enterprise Group, Inc.: Sure. So, thank you all again for joining us. As is often the case, we're greatly appreciate it. As is always the case indicates, we're greatly appreciate of you spending your time with us. So, hopefully, the main messages you heard is that the utility investment program is on track. We're doing things that are valuable to customers and hopefully provide a fair risk-adjusted return to our investors. We certainly view them as being such. Dan briefly mentioned, but it's worth repeating that the Power construction program is on schedule and on budget, so all looks okay there. We continue to realize the benefits of careful cost control in the utility, in PSEG Power and that commitment is a daily one and you can rest assure that will continue out to the future. And lastly, we are engaged in some policy discussions that we believe can be helpful to our customers and our shareholders whether it's energy efficiency, recognizing the value of nuclear or putting in place predictable long-term infrastructure programs, all of which will help us run our system more efficiently and in a way that's safe, reliable and affordable for all involved. I'm sure Kathleen and Dan and I will see you at various venues in weeks and months ahead, and we look forward to chatting with you at that time. Thank you.
Operator: Ladies and gentlemen, that does conclude your conference call for today. You may now disconnect and thank you for participating.